Operator: Ladies and gentlemen, good day, and welcome to the AdvanSix Third Quarter 2019 Earnings Conference Call. Today's conference is being recorded. And after today's presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Adam Kressel, Director of Investor Relations. Please go ahead, sir.
Adam Kressel: Thank you, David. Good morning and welcome to AdvanSix's third quarter 2019 earnings conference call. With me here today are President and CEO, Erin Kane; and Senior Vice President and CFO, Michael Preston. This call and webcast, including any non-GAAP reconciliations, are available on our Web site at investors.advansix.com. Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our business as we see it today. Those elements can change and the actual results could differ materially from those projected, and we ask that you consider them in that light. We refer you to the forward-looking statements included in our press release and earnings presentation. In addition we identified the principal risks and uncertainties that affect our performance in our SEC filings including our annual report on Form 10-K. This morning, we'll review our financial results for the third quarter of 2019, and share with you our outlook for our key product lines and end markets. Finally, we'll leave time for your questions at the end. So, with that, I'll turn the call over to AdvanSix's President and CEO, Erin Kane.
Erin Kane: Thanks, Adam, and good morning, everyone. Thank you for joining us and for your continued interest in AdvanSix. As you saw in our press release, AdvanSix navigated a third quarter characterized by a challenging end market environment as we saw a further slowdown in demand on a global basis. Nylon industry conditions in particular remain lackluster with the sequential decline in industry spreads that began in June persisting through the third quarter. Mike will detail the full results in a moment, but overall the third quarter results were pressured by challenging industry conditions and an unfavorable product mix. Given our global low cost position, we continue to benefit from strong plant utilization rates, at Hopewell in particular, in the face of slowing nylon demand, continued acetone oversupply conditions, and mixed fertilizer industry dynamics. We have remained committed to the deployment of CapEx this year in high-return growth and cost savings projects. Our new natural gas boilers are fully on stream, which coupled with low natural gas prices are delivering immediate productivity benefits for our business. And lastly, we repurchased approximately $13 million of shares in the third quarter. I'm also proud to announce that our Frankford facility was awarded RC14001 certification, in September. With that certification all AdvanSix facilities are now third-party certified to RC14001 and adheres the Responsible Care guiding principles set forth by the American Chemistry Council. We continue to have a sharp focus on safety and advancing a sustainable enterprise. We're in the midst of completing our planning for 2020 with a conservative outlook in the near-term as macro uncertainty continues to weigh on market sentiment. Importantly, we are taking proactive measures to drive disciplined cost management, optimized working capital performance and cash flow generation, while deploying capital prudently. We remain focused on continuing to execute our strategic priorities with operational efficiency, and these will support our long-term performance. We continue to track to approximately $150 million in capital expenditures in 2019, which as a reminder funds three key investments this year including our natural gas boilers, caprolactam de-bottlenecking, and R&D lab relocation projects. These will bolster our underlying earning potential. Looking to 2020, we expect total CapEx in the range of $90 million to $110 million or down $40 million to $60 million year-over-year. Given the end market environment we will be disciplined around reinvestment in the business while working to mature our long-term pipeline of high-return opportunities. I'm happy to report that our fourth quarter 2019 plant turnaround was recently completed as expected and will an approximately $25 million impact to pretax income in the fourth quarter, at the low end of our previously expected range. This is a key consideration to our earnings performance in the fourth quarter, and will bring the total planned turnaround impact for the full-year to approximately $35 million. For the full-year 2020, we expect a pretax income impact of planned plant turnarounds to be in the range of $33 million to $38 million, which will be heavily concentrated in the second quarter of next year. Lastly, I want to provide an update on our cumene supply chain following the refinery fire at one of our suppliers, Philadelphia Energy Solutions, or PES, in June. In the third quarter, we saw a roughly $4 million pretax income impact as a result of our extended supply chain below the expected range we provided last quarter. Given the proximity of PES operations related to our Frankford phenol plant, we inherently drive logistics and working capital benefits from that local supply relationship. As we are shifting towards a more Gulf Coast reliant [ph] supply, our teams are actively working to optimize the impacts on our business, including logistics, spot purchases, and buffer inventory levels. Given our efforts, we have narrowed the expected range of the fourth quarter 2019 financial impact of $46 million, and expect the full-year 2020 impact to be in the range of $10 million to $15 million, compared to a full-year 2019 impact of $8 million to $10 million. Our key focus is to ensure security supply at optimized economics as we realign our supply chain into 2020, and we do remain confident in our long-term optionality. With that, I will turn it over to Mike to discuss the details of the quarter.
Michael Preston: Okay. Thanks, Erin, and good morning, everyone. Now, on slide four, where I'll review the third quarter financial results. Sales were $311 million in the quarter, down 16% compared to last year. Pricing overall was unfavorable by about 14% and that was primarily due to an 11% unfavorable impact from raw material pass-through pricing following cost decreases in both benzene and propylene. Market-based pricing was unfavorable by approximately 3%, compared to the prior year. This reflects challenging end market conditions in acetone, nylon, and caprolactam, partially offset by improved ammonium sulfate performance. Volume overall was down about 2%, primarily due to sales timing and unfavorable product mix across nylon and ammonium sulfate, driven in part by operational performance and continued challenging industry dynamics in chemical intermediates. Partially offsetting this was improved caprolactam volume due to stronger utilization rates and the larger planned plant turnaround in the prior year period. EBITDA was $25 million in the quarter, that's up about $5 million versus the prior year. The increase primarily reflects an approximately $25 million net favorable year-over-year impact of planned plant turnarounds. This was partially offset by the unfavorable impact of market-based pricing, lower volume, operational performance and other factors as well as the unfavorable cumene impact as Erin mentioned. Earnings per share of $0.28 increased by 56% versus the prior year, driven by the factors just discussed, and a lower share count driven by continued repurchases. The lower share count contributed to $0.02 of EPS accretion year-over-year. In 2019, through the end of October, we have repurchased approximately $62 million worth of shares, and since these inception of our authorization, we have now repurchased roughly 12% of our total shares outstanding. And lastly, cash flow from operations reached $33 million in the quarter, that's down about $70 million compared to last year primarily due to the unfavorable impact of changes in working capital. CapEx of $35 million was up roughly $16 million year-over-year due to higher planned turnaround maintenance spin as expected and continued execution against our pipeline of higher return growth and cost savings capital projects. Now, let's turn to Slide five for a deeper dive into our earnings performance relative to last quarter. As we have previewed on our last earnings call, there were number of known tailwinds and headwinds to our sequential performance in the third quarter relative to the second quarter of 2019. First is the pricing and mix impact of the typical seasonality in our ammonium sulfate business. As we have highlighted in the past, the ammonium sulfate prices are typically strongest domestically during the second quarter fertilizer application and then have a seasonal pricing decline into the third quarter as the new season begins. We also have a greater mix of products sold to our exports markets in the third quarter. This results in higher standard grade product sales in the third quarter versus strong granular sales domestically at the height of the North America season in the second quarter. On average, we can see roughly a $50 per ton premium for granular product compared to standard product. In total, we saw the sequential seasonality consideration toward the midpoint of the $10 million to $15 million range we typically see in our COGs in the third quarter. Second, on the list of key sequential performance drivers is the approximately $12.6 million pre-tax repositioning charge associated with the closure of our Pottsville Pennsylvania films manufacturing facility that did not repeat in the third quarter. We are continuing to qualify customers and build upon our strategic alliance with Oben Group, which we expect will position us for continued success in the nylon films industry. In addition to these factors, we also saw incremental headwinds impacting our performance in the quarter. From an industry perspective, Erin will detail what we are seeing in each of our product lines in a moment, but in addition to AS seasonality, market pricing for other products represented an approximately $6 million headwind sequentially. The challenging dynamics in acetone have persisted, which has kept pressure on pricing and spreads. Demand has remained soft across most nylon end uses as well with industry benzene to caprolactam spreads near their recent 2016 lows. As we previewed, there was an approximately $4 million on favorable impact to pre-tax income in the quarter as a result of the PES supply of fire and extended cumene supply chain. The impact this quarter came in below the range we provided on our last earnings call, and we continue to optimize our cumene supply chain as we go forward. Lastly, we saw an approximately $1 million net headwind sequentially from volume, operational performance and other factors. Despite some unfavorable impact related to fixed costs absorption and lower yields, our caprolactam and other unit operation utilization rates are hopeful and remained relatively high as we benefit from a global cost position. Importantly, we also began to see benefits from our new natural gas boilers in the third quarter. The returns for that project thus far have exceeded our expectations. Now, let me turn the call back to Erin.
Erin Kane: Thanks, Mike. I'm now on slide six to discuss our nylon product lines, which includes our caprolactam resin and films products and represented just over 50% of our sales in the third quarter. As you can see from the chart on the right hand side of the page, industry benzene to caprolactum spread globally, as well as Asia caprolactum to resin spreads continued to decline sharply on a year-over-year basis in the third quarter. As you'll recall, we began to see a sequential step down in industry spreads really take hold in June, which were then sustained through the third quarter. The Asia benzene to caprolactum industry spread average roughly $775 per ton in the third quarter and dipped below $700 per ton in September, approaching the trough most recently seen in 2016. We did see an increase in the Asia caprolactum resin spread on the sequential basis in the third quarter from the second. So the spread does continue to hover in and around that marginal conversion cost of monomer to polymer of approximately $250 per ton. As we look at the nylon environment overall, we've seen slowing growth and uncertain market sentiment continue to weigh on pricing and spreads. From an end user application perspective, we've seen persistent weakness in North American carpet, as well as an auto end markets particularly in Europe and China, and a slowdown in textile demand growth out of Asia. We've also been operating in a falling commodity input environment with a global commodity such as benzene, ammonia and sulfur for example, falling in recent months, and in most cases, these costs dropping more rapidly in other regions as compared to the U.S. We've seen the global caprolactum cost curve flattened on these weaker feedstocks, which has pressured industry spreads and pricing. With robust operating performance in the U.S. and net export position, we do anticipate greater exports moving forward in the current demand environment. So we continue to actively work on upgrading our product mix into higher value applications such as engineering plastics, and adapt to changes in light of the software and marketing conditions, our geographic sales mix will shift accordingly. Despite industry growth year-over-year continuing to decelerate, our global low cost advantage will serve us well as we focus on realigning our end-market sales mix. Let's turn to Slide 7. In ammonium sulfate, which represented about 20% of our total sales in the quarter, we saw our typical seasonality impact moving from the second quarter to the third as Mike discussed. On based on third-party data, we've seen relative stability in corn belt ammonium sulfate industry pricing as compared to nitrogen pricing overall. As a reminder, urea is the largest nitrogen fertilizer by total consumption intends to have an underlying influence on all other nitrogen nutrient products. Fertilizer industry pricing in the third quarter declined on both a year-over-year basis as well as seasonally versus the second quarter. Nitrogen fertilizer pricing overall has continued to be dynamics following the adverse weather and industry logistics disruptions seen earlier in the year. Agriculture fundamentals have remained challenging overall and the recent USDA crop estimates published last month reaffirmed corn meal projections, which in turn have supported range-bound movement in those corn prices. As we look towards the remainder of the year and into 2020, we expect to see fertilizer demand strengthened seasonally, particularly as we move into the heart of the domestic planting season next year. We do expect to see some increased competitive pressure in light of announced ammonium sulfate capacity additions and continued European imports. We will also continue to watch for any changes and expectations for planted acres into the next domestic planting season, while remaining focused on delivering the value proposition of sulfur nutrition for our customers globally. Let's turn to slide 8 for an update on chemical intermediates. Our chemical intermediates product line represented just under 30% of our total sales in the quarter. The chart on the right hand side of the page again shows refinery grade propylene costs and U.S. acetone prices based on third-party data. The industry realized acetone price overall has continued to be compressed and challenged overall through the third quarter. Despite imports into the U.S. moderating, global acetone remained in oversupply position on the back of weaker demand. As a result, we've seen pressure on spot market spreads, and it continued dry for deeper discounts in the large buyer market. From an acetone demand perspective, [indiscernible] MMA industry conditions have remained weak overall on a global basis. As a reminder, MMA is a key consumer of acetone, particularly here in the U.S., and is used in various acrylics, plastics, and coatings, which ultimately end up in applications tied to auto or housing markets. So, coupled with an overall slowdown on global basis, we've also seen delayed restarts at MMA customer plants following downtime earlier in the year as well as further plans, to plant turn around to the kept demand muted. Being on demand has also remained subdued. Globally, we've seen softness across TM uses such as ethanol, polycarbonate and plastic resin and of course nylon as we've discussed. Across the remainder of our chemical intermediate portfolio, we have seen demand remain rather resilient, albeit at a smaller base with continued favorable growth trends associated with our oximes and other derivatives. Lastly, I would like to take the opportunity to provide an update on the ongoing acetone anti-dumping petition. As a reminder, the U.S. Department of Commerce has issued preliminary anti-dumping duties on five countries over the past few months. Starting with the first two countries Singapore and Spain, who did not contest the petitions, the DLC announced final determination in mid-October confirming their initial duty rates. The International Trade Commission is expected to issue final injury determination on those two countries by mid-November. As for the other three countries Belgium, South Africa and South Korea were waiting final dumping determinations by the DLC and final injury determination by the ITC, which is expected by the first quarter of 2020. Ascending affirmative rulings duties impose will be in place for five years. Now let me turn the call back over to Mike.
Michael Preston: Okay, thanks, Erin. Now on slide nine to discuss our CapEx framework. Following $109 million of cash outflow from CapEx in 2018, we're tracking to approximately $150 million in full-year 2019, followed by a reduction in 2022. And expected range of $90 million to $110 million, or down $40 million to $60 million year-over-year, as we've shared in the past spend in 2018 and 2019, includes the two high return projects we've initiated. The increase in 2019 and subsequent decline in 2020, is a result of several factors. The first relates to the previously announced $15 million of incremental CapEx associated with the relocation of our R&D facility from its current location leads from Honeywell into our own Chesterfield, Virginia site. The second consideration relates to approximately $20 million in spend for planned plants turnarounds. This increase is being driven by the scope of the 2019 turnaround as well as the timing of the 2020 turnaround scheduled for the spring, requiring CapEx spend in 2019. And lastly, we continue to be excited about the healthy pipeline of organic investment opportunities that we expect to draw ongoing benefits for years to come. However, given the current macro landscape, we will remain prudent around any discretionary deployment of capital as we further mature our high return project pipeline. Now let's turn to slide 10 to discuss our outlook for the rest of this year and 2020. As you can see, on the right-hand side of the page, we've highlighted our expected trend for each of the key drivers of our performance with the red circle representing a headwind for next year, yellow circle neutral and green representing a tailwind. As we discuss there are some puts and takes across the portfolio from a commercial perspective. In the nylon space we are characterized the environment as we grow overall given the macro uncertainty and expect the current softness in end market demand to continue. We continue to look to mitigate impacts from movements in key feedstocks and remain focused on value pricing or more differentiated nylon products based on their performance characteristics in the higher value applications. In ammonium sulfate, we expect fertilizer prices and mix to increase seasonally as we're exiting the year and continue into the heart of the North America planting season. Overall indications point to a more dynamic ammonium sulfate fertilizer environment to the rest of the 2019, 2020 planting season. As we're monitoring announced capacity additions, estimated planted acres crop prices, as well as global trade flows. We also expect to see some level of pre-buy cash advances in the fourth quarter for sales plant in 2020, as is common in that business. As for chemical intermediates, we expect continued acetone price overall spread for the remainder of the year on the back of slowing demand and persistent over supply conditions. We do expect North America has acetone inventory levels to stabilize overtime and are awaiting final anti-dumping duty determinations, which we expect to be announced if any by the first quarter of 2020. Operationally, we've completed our planned turnarounds for 2019 as of the fourth quarter and remained focused on the flawless execution of our turnaround schedule into the 2020, which as Erin highlighted will be heavily weighted towards the second quarter of next year. We expect continued improvement in performance across our integrated asset base in 2020, supported by our proactive maintenance and reliability programs. I highlighted our expectations for CapEx spend on the previous slide. We continue to expect full your benefits from our new natural gas boilers at Hopewell in 2020, as for the previously discussed capital item quality and de-bottlenecking project, this still remains very strategic project for us despite the current industry conditions. We're managing this project to cost and now expect to be fully online by the second quarter of next year. We've also indicated our expected pretax income impact in the fourth quarter of 2019 and full-year 2020 as a result of our realign cumene supply chain, following the approximately $4 million unfavorable pretax income impact in the third quarter of 2019, we expect a $4 million to $6 million impact in the fourth quarter. In 2020, we expect an unfavorable impact in the range of $10 million to $15 million, which represents a low-to-mid single digit million increase year-over-year. Over the medium to long-term, we see cumene supply and demand dynamic supportive of sufficient availability and continue to assess our long-term optionality. Lastly, we expect our effective tax rate to be in the range of 24% to 25% for the full-year of 2019, and approximately 25% in 2020. From a cash perspective, we expect continued efficient working capital performance next year and pension cash contributions are expected to be in the range of $5 million to $10 million. Now, let me turn the call back to Erin for a brief wrap up before moving to Q&A.
Erin Kane: Thanks Mike. I like to take the time to reiterate our core focus areas on slide 11. Similar to what we shared last quarter, our key levers to drive best possible outcomes and long-term value creation haven't changed. First, they stable and sustainable operations. This is core to who we are as a company. Since it started 2017 our utilization rate Hopewell has average roughly 93%, which has significantly outpaced the industry and it's critical for us to leverage our low costs capital item position globally, so while we've seen a significant improvement, how we operate our facilities, the remains more to accomplish less variability in production, quality and yield drives higher returns for the business. Second, differentiated product growth, we've talked about this area of focus in three different buckets, high purity applications, high value intermediate and differentiated nylon. Individually, many of these products are growing off of a small base and are still in early stages of development. We've had successes across the portfolio. For example, our nylon wiring cable sales have increased more than 50% year-to-date. While our easy blocks anti skinning agent used in paints has more than doubled in sales over the same period. We're also building momentum and gaining commercial traction on additional offerings. So although the environment for the broader industries we serve has been lackluster in the near term, we're well positioned to capitalize on any macro improvement and continue to expect an improved contribution from our focus on these two key areas. Finally, cash generation and deployment since it's been we generated over $450 million of operating cash flow, which has been deployed towards capital reinvestment debt pay down in cherry purchases. We also continued to build out our inorganic pipeline and capabilities consistent with the capital allocation priorities we have previously discussed. As always, we'll remain disciplined in our approach as we look to drive long-term shareholder value. So we recognize that the current environment is challenging, but we are very focused to continue to position the company for long-term performance by executing on these strategic priorities. With that Adam, let's move to Q&A. Thanks.
Adam Kressel: Thanks Erin. And David, you can go ahead and open the line for questions.
Operator: [Operator Instructions] Our first question will be Chris Moore with CJS Securities.
Chris Moore: Hey, good morning, guys.
Erin Kane: Good morning, Chris.
Chris Moore: Good morning. Maybe just with the PES fire, the $10 million to $15 million impact on 2020, can you break that down a little bit further, and I'm trying to understand from Mike's comments is, is that likely it's going to be a permanent impact in the cost structure, or still to be determined?
Michael Preston: Yes, Chris, I'll take that. Yes, as we discussed in the past, the benefit of having PES as a cumene supplier was that they were very close to our Frankford facility, and we inherently had logistical and also working capital benefits as a result. So now, as we source cumene from other sources that extends our supply chain, and with that come quite a bit of logistics cost associated with that. So, when you look at the $10 million to $15 million impact next year, a good chunk of that, you know, good large percentage of that is actually logistics for chartering vessels, having them go down to the Gulf, pick up additional material, and come up. In terms of whether or not that's a permanent impact going forward, certainly as long as PES is down and we don't have local supply, there is going to be that consideration going forward. What I'll say is we continue to optimize the costs, where we get the cumene from, how we manage our logistics, how we manage buffer supplies of cumene to mitigate that to the best extent we can. In fact, you saw that the actual results in the third quarter were below what we had guided, and we continue to improve on the impact, but we are going to be faced with an extended supply chain and the impact of that in terms of logistics as we go forward.
Chris Moore: Got you. With respect to [indiscernible] you talked at the end, kind of the higher value nylon products, it seems like that's [indiscernible] coming more and more critical, given that at least the current environment. Roughly, from a 2020 perspective, what percentage of revenue do you see there, and what's the ceiling?
Erin Kane: So, Chris, maybe I can reiterate a few things here, as we look across the entire portfolio, again, we want to reiterate that the opportunity to grow differentiated products exist in three buckets. High purity applications, which is going to be kind of geared inside of our intermediate portfolio, year-to-date we've seen growth of 4% in those product lines, and high value intermediates as well. I've already noted the EZ-Blox anti-skinning agent who has doubled their sales year-to-date, right. So those two have opportunity for us and continue to work into 2020 and beyond for those. And then, of course as you mentioned, the differentiated nylon, in general we recognize we have to continue to upgrade our mix, as you pointed out. We're doing very well in the wire and cable with those sales doubled as well. And when you look at the number of opportunities, again it's difficult. We recognize we've put this on a percent of sale basis, but as the raw materials environment change we're seeing more top line movement, and still seeing underlying performance being driven out of our pipeline. So we're going to continue to be focused across all product lines really with the opportunity to lever -- these product lines that have 1.5 to 2X to gross margin versus our company average, and that will be a continued focus into 2020 and beyond, and as we get into 2020 we recognize [technical difficulty] provide some transparency here for you. Another data point I can provide in translating our mix is we've grown volumes into the engineering plastics [technical difficulty] realign our portfolio [technical difficulty]. And so, we do anticipate that it will be a contributor to the incremental earnings next year.
Chris Moore: Got it. Last question for me, Erin, I think you had mentioned ammonium sulfate there, the new capacity coming online, where is that, and what do you expect from that?
Erin Kane: So, I mentioned in the past, Chris, we are watching in [indiscernible] capacity is online in Western Canada. They converted mineral sulfate line to an on-premise ammonium sulfate line, adding roughly 350,000 metric tons, which kind of doubles their current capacity to a total of about 700,000 tons. So it's about 10% additional granular AS into North America. To put that in perspective, we have imports into the region of about 512,000 metrics tons through August, which is up year-over-year. So I think when we talk about the potential of supply-demand dynamics playing into this next season it is that new capacity coming in as well as how that realigns through that North American balance, so that's the team we are working.
Chris Moore: Got it. Appreciate it. I'll just back in line. Thanks.
Operator: Thank you. Our next question comes from Charles Neivert with Cowen.
Jeff Rossetti: Hi, good morning. This is Jeff Rossetti on for Charles. I just wanted to see if you could touch on the supply side in capro and nylon. Have you seen anything recently come online in China, and maybe your thoughts on heading into 2020, if you see any new capacity there?
Erin Kane: Sure. I mean there continues to be, I would say, the -- a focus on continuing the expansion. If we look at sort of total capacity from '17, '18, into '19 we've seen about another 500,000 tons or so come on '18 into '19, which was on top of about 800,000 tons of capacity added in '18. One of the things that we are noticing is that while there are several announced capacity additions over the next several years, increasingly I would say the firm timing of those adds is becoming uncertain. So there is a -- at least a view now that given the fluctuation in supply-demand when you look at China you have automotive in decline, on the textile side they've gone from double-digit growth in '18 to low single digit in 2019, which is a large consumer of nylon in the region. So, again, I think we're watching, but we would anticipate that those additional announcements of a couple hundred thousand tons, give or take, will continue to be uncertain and likely push out.
Jeff Rossetti: Okay, thanks. And maybe could you maybe quantify what kind of benefits you're seeing from the new natural gas boilers and the capro de-bottlenecking and versus in 3Q versus what you might expect in 2020?
Michael Preston: Yes, so when we talk about the high growth in the cost savings projects, the growth in cost savings projects we had the two, the boilers as you mentioned, and the capro de-bottlenecking projects. When you add those two up, as we've talked about in the past, that's roughly $55 million to $60 million of CapEx, and an internal rate of return of 20% is what we anticipate on aggregate there. As we talked about, the boiler started up in the third quarter and we started to see benefits. What I'll say is we're looking at low to mid single-digit million kind of benefits from that. And the benefits are exceeding our expectations overall. The boilers are operating as we anticipated and we are getting the returns. And we expect to get sort of full-year returns next year, so we'll get about a half -- if you look year-over-year in 2020, we'll get another half-a-year of benefit compared to 2019. When you look at the caprolactam de-bottlenecking project, that one as you can imagine -- and by the way, what we've talked about in the past was that would unleash about 2% of additional production additional capacity of caprolactam. In the context of more challenging end market conditions we've been managing the pace of that one now to be more of a sort of a cost-driven project. And therefore we don't anticipate to start achieving benefits of that project until the second quarter of next year. So we'll have a bit of a ramp in the second quarter and then start to get sort of full run rate benefits in the second-half.
Jeff Rossetti: Okay, thanks very much.
Operator: Thank you. Our next question comes from David Silver with CLK.
David Silver: I apologize, your timing is exquisite. There's just a fire alarm here, so. I was wondering -- I was going to ask you a question about maybe your thoughts about capital allocation or balance sheet here. During 2019, I mean we've seen the debt levels -- and I guess strategically, I'm sure there's kind of a potential acquisition funnel or some ideas you have that maybe would utilize or strengthen your vertical integration, maybe diversify you in a -- diversify your end markets and [technical difficulty] could integrate your thoughts about strategic capital deployment going forward, and [technical difficulty] versus balance sheet debt. In other words, are you maintaining enough dry powder or financial flexibility to take advantage of an opportunity [technical difficulty] -- 
Michael Preston: Yes, got you, David. I'll try -- yes, I'll try to answer that. You were breaking up a little bit on our end here, but I'll try to answer that. First and foremost, what I'll say is the first priority, David, as we talked about is the reinvestment in the business, particularly the capital expenditures. And this year, 2019, we anticipate the spend about $150 million of CapEx. And as we've talked about as well is really the step up in spend on these organic high-return growth and cost savings projects of which we're starting to get the benefits from those now. And again, we have a whole pipeline behind that of growth and cost savings projects of $150 million to $200 million with nice returns that we anticipate, 20% internal rate of returns that we're going to continue to build the business cases on and do engineering on going forward. So that is the first priority for us. In terms of M&A, we are active in terms of looking at targets, building a pipeline, and all the reasons for that you mention in terms of improving our margins, cash flow stability in the business, vertical integration. I mean those are all things we're interested in that we've been maturing in terms of building that pipeline over time, and that is a strategic priority for us. But the first initial focus for us is the organic reinvestment through CapEx. And so that is the focus area.
David Silver: Okay, thanks for that. If I could switch over to this slide you have on acetone, and I know that the lines charting the benchmark pricing are just that, they're kind of benchmark pricing. But if I kind of eyeball it, if I look at a 40% year-over-year decline in acetone pricing, I mean that's kind of on the border of $0.25 a pound or more than $1,000 a short ton -- I'm sorry, I'm getting my math mixed up. But $0.25 a pound, and first of all, I'm just wondering, is that the type of year-over-year difference that's you're seeing on your acetone realizations? And then I'm just wondering if you could maybe remind us what your breakdown of sales might be between the small-medium buyer market and the large buyer market. Thank you.
Erin Kane: Sure, Dave. Let me take a stab at that for you. So, when, from of all from a breakdown perspective, our sales would be in line with really the market share of large buyer versus small-medium buyer, which would be two-thirds weighted to the large buyer, a third weighted to the small-medium, give or take. And when you think about certainly how the line charts look vis-à-vis the propylene. So when you look at sort of where we've been cycle averages, the long-term average on that spread is probably closer to a $0.09-ish spread on between propylene and the acetone sales. And certainly we are seeing now spreads that have been quite compressed to that long-term average. And part of that is, when you have length in the market the small-medium bio market tends to be more of a freely negotiated orientation, I mean also has historically been priced and at a premium or at least you earn margin because you're in LTL truckloads, more customer service into those oriented types of markets. That was the first space that had seen quite a bit of compression as you can see from a line chart, now they've kind of almost collapsed on top of one another. So, that is the area of the market that we look to have improved returned performance given that that we should see premiums there and then certainly the large buyer market will improve that often needs to improve along with the health of the M&A market as well.
David Silver: Okay, and I'm assuming that and correct me if I'm wrong, but as the anti-dumping investigation and determinations and rulings flow through and take effect in the market, I  mean would I be correct in assuming that that is going to be principally affecting the large buyer market?
Erin Kane: Again we would anticipate that on a true affirmative determination, we see a few things having to play out, first the acetone inventory needs to work through the system and we need to have healthy M&A demand to do that. And so, we look to those key end consumers, for their plants abilities in their end markets to improve and then with that, certainly given the reduction in the imports, return to more disciplines orientation of those imports, that inherently you would see or could see their returns On spreads rising in both the small, medium buyer market as well as a large buyer.
David Silver: Yes, there's one to lead I guess. Okay. And just to reiterate, in your prepared remarks, you said that despite the initial determinations regarding anti-dumping duties, the tone of the market to this point has really shown no improvement and is that, sometimes we say month-to-month but, would you say that September, October is similar to July and August or would you say the average of 3Q over 2Q is what has not improved?
Erin Kane: I would say, there's been modest sentiment but again, I think the supply demand length has been really the broader  umbrella story here then what can happen in a short term, indication and again, those affirmative duties, if final will be in place for five years, and that is again the long-term view that we've been taking here with a petition.
David Silver: Okay, so, all right, those going to play out over a period of time. All right, thank you very much. Appreciate it.
Michael Preston: Thank you, David.
Operator: Thank you. [Operator Instructions] Our next question comes from Vincent Anderson with Stifel.
Vincent Anderson: Yes, thanks. A nice job on the turnaround this quarter, I wanted to start with ammonium sulfate. Just to clarify, have you seen actual signs already of the impact in the new North American capacity from your distributors and retailers? Or is it too early?
Erin Kane: It really is too early here, Vincent. The plant is now online and as you know rates falling companies in Q3 is, really the start of the next season and it's been rather, I would say, quiet today, but something that we definitely need to watch as we get into the height of the season.
Vincent Anderson: Okay, thank you. And then I was hoping you could go into a little bit more detail on what the kind of the near-term commercialization plan is for increasing your nylon utilization rates into this kind of demand environment. Is it all going to be through value-add or you planning to go back after market share?
Erin Kane: So maybe I could help reframe you, really our sentiment when we talk about high utilization, right, our core focus as we've talked is really around stable and sustainable operations. And when we run more safely and more reliably, we are inherently getting more rate out of our facilities. I mean that is really our focus versus -- you know, not to interpret the comments that were moving a dial, right, from that perspective. Certainly the de-bottlenecking project will give us inherently more capacity. But much of our performance is really just coming from the long-term I would say latent opportunity that has existed inside our asset base so as we continue to be proactive and drive our mechanical integrity and maintenance excellence program, we are getting the benefits of returns of those investments. So, again from a targeting perspective, it is around continuing on our core strategies with the strong belief in quite candidly the demonstration over the last several quarters that the methodologies and the strategy works to get more out of the plants. Now with that, we need to make sure that we are working hard as you have pointed out on the mix of those paths. So in actual nylon polymerization facility, clearly we are working to realign our mix as carbon has continually come under pressure to move our mix to allow us to reach into the compounding space to support independent compounders and others with high quality good products to compound and meet engineering plastic needs, to focus on higher value, high viscosity products for packaging as well as doing new things like copolymerization, various type of terminations that allows us to get at those application bases. So, that's really the focus there. Hopefully that price will be more context to the notion of targeted utilization range.
Vincent Anderson: That's helpful, thank you. And actually going back to the operations, during the turnaround this quarter where there any specific changes to the exercise or investments made that really helped that performance and gave you added confidence in your turnaround cost kind of remaining lower and more predictable going forward?
Erin Kane: Sure. One of the things that we do and have continued over the last several years in [indiscernible], we have talked about this probably several quarters ago is as the focus [indiscernible] global turnaround strategies. So we have been focusing on looking at how should we integrate our schedules, looking at wrench time alignments, how do we take waste out of the daily work, right, to increase the wrench time? We have seen great success last year in our Kellogg ammonia turnaround. We applied the same technique and got the same benefit here out of our sulfuric acid plant turnaround. So, a lot of integration, lot more coordination, using new technique that we are lean in nature, right, to get waste out of the timeline and get your wrench time up. A lot of key focus on startup as well. I think we have had learnings that we can do really well and execute on the wrench time, but we also need to flawlessly execute on our startup. That has been a keen focus. And as we head into next year, we are adding a new layer and looking at how we can also mitigate our raw purchases. That has been a key cost for us particularly when we take down the sulfuric acid plant or the Kellogg ammonia plant, but obviously if we can start to leverage our own materials and think about how to be creative and mitigate that cost, that will be new for 2020 as well.
Vincent Anderson: Thanks. And just two more quick ones if I can sneak them in, just going into 2020 would it be possible for you to quantify the year-over-year savings if we were to hold sulfur prices where they are today given how much they have fallen through the year?
Michael Preston: Yes. We will have to get back to you on that. But as you saw the sulfur has come down. If you look at some of the recent industry pricing, they are sort of in the $50 per ton level. That I would say is pretty low relative to what we had seen in the prior years. So the question is whether or not that is a stable price and will be sustained as we go into next year, but if that is the case, that will certainly be a bit of a tailwind for us next year.
Vincent Anderson: Great, thanks. And last one just looking little bit more long term, you talked about derivative products as a focus in M&A -- potential M&A I should say. Have your thoughts on those targets maybe shifted away from the cumene value chain given the feedstock uncertainty there?
Erin Kane: So I think you've point an interesting view. I think our strategy is as Mike has eluded to before remains the same in the interest to how do we continue to look at opportunities, think about the value chains along our product lines is new opportunities, but certainly I hope that is coming through, ensuring that we have the right long-term optionality sorted for our cumene strategy comes to the front of the list, if you will, particularly if we are going to go down that value chain. I think it's a good observation and one that we are working on.
Vincent Anderson: All right, thank you so much.
Operator: Thank you. At this time, we have no further questions. So, I will turn it back to Ms. Erin Kane for closing remarks.
Erin Kane: Great. Thank you all again for your time and interest this morning. As we continue to navigate through challenge end market conditions, we are focused on executing what is in our control. We are planning conservatively. We remain focused on positioning the company for long-term success. We are confident in our ability to build upon our advantaged foundation, and are excited for what we can accomplish for all of our key stakeholders as we head into 2020. Thanks again, I look forward to speaking with you again next quarter.
Operator: Thank you. Ladies and gentlemen, that concludes the AdvanSix third quarter 2019 earnings conference call. You may disconnect your phone lines, and thank you for joining us this morning.